Operator: Good afternoon. And welcome to Sylvania Platinum Limited Annual Results Investor Presentation. Apologies for the delay in starting the meeting, throughout this recorded presentation, investors will be in listen-only mode. [Operator Instructions] The Company may not be in a position to answer every question received during the meeting itself. However, the Company will review all questions submitted today and publish responses where it's appropriate to do so. Before we begin, I'd like to submit the following part and I'd now like to hand you over to CEO, Jaco Prinsloo. Good afternoon to you, sir.
Jaco Prinsloo: Good afternoon and thank you very much. And welcome to everybody on the call. Myself and Lewanne Carminati, our CFO, will be taking you through the presentation and we will attempt to highlight just some of the most significant features of this past year's performance. And then hopefully, we have enough time at the end for some questions as well. I again just on the disclaimer guide you guys in terms of the conditions. If you want to make any ambition decisions on this presentation, just take note of that. But otherwise I'll get straight into the presentation. I think maybe just to start off, for those of you who may be new to the company, Sylvania is a cash generative, dividend paying, mid-tier platinum mining company that has been in operation for just over 15 years now. And I think key to our success is our continuous focus to maintain safe and profitable production, to maintain and strengthen our license operate and to invest R&D and business improvement initiatives to ensure that we maintain a sustainable, cash generative business. And that is a key enabler for us to pursue then further growth opportunities and to return attractive value to our shareholders. And over the years, the attractive cash that we have generated from our SDO have been reinvested to grow our PGM portfolio from one initially to six operating units at the moment, and also to fund significant share buybacks and to fund stable and growing dividends since 2018. A bit of orientation just on operations. I think this map indicates where our existing Sylvania Dump Operations are situated, three of our operations Mooinooi, Millsell and Lesedi on the Western Limb of the Bushveld Complex in South Africa and Lannex, Tweefontein and Doornbosch situated on the on the Eastern Limb of the Bushveld Complex. I think probably noteworthy and a new addition to the slide is very exciting. Our THABA joint venture project or operation that we have just announced. Post results close but in the first week of August, which is on the northern part of the Western Limb of the Bushveld Complex and I'll deal a bit more about, discuss a bit more details around that joint venture project but later in the presentation. When we look at the exploration assets, these are current owned exploration assets the company have and they have secured and acquired between 2009 and 2010 already, for which we have approved mining licenses. And those are Volspruit projects on the south end of that resource. And then Aurora and Hacra on the northern end of the Northern Limb. And again we will touch on more detail later in the presentation. So we jump into the overview of the performance for the year. I am very proud of very solid set of results from both our operations and also financial performance. We have managed to achieve a record performance of 75,469oz 4E for the year which is set a new annual record for operations and about 13% improvement on the previous year. And just for comparative purposes to peers in the industry that equates to about 96,000oz or 60oz. And it also under our control. Our group cash unit costs have decreased 14% for the corresponding period to $771 an ounce and largely impacted by the higher ounce profile and our large fixed cost base. So we've seen that reduction. Unfortunately, from a PGM basket price point of view, it wasn't such a pretty picture during the past year, and we have seen a decline of about 28% in the 4E basket price based on the composition of our basket. Most significantly, there is the rhodium reducing more than 30%, I think 32% or 34% on the period and palladium 14%. But despite the PGM basket price declining over the period, I'm still proud of a very solid set of financial results. We still managed to have positive EBITDA and earnings per share, and you can see that it was from revenue 14% down in the corresponding period and EBITDA basic earnings between 18% and 20%. It is still encouraging against the backdrop of a 28% basket price for the year. So I think very good financial performance and also encouraging that we've managed to end the financial year at a cash balance of $124.1 million in cash, which is a 2% increase from the previous year. And that is after we funded our scheduled capital projects for the year, after we paid a 3 pence per share interim dividend during April and bought back about $3.6 million worth of shares during the period. So on the back of the cash balance and strong performance and our outlook for the year, the board was very happy to approve a final dividend of 5 pence per share to be paid in December. And that together with a 3 pence interim dividend already paid earlier this year, brings the total dividend for the year to 8 pence for the year, maintaining our dividend that we've paid in the previous financial year. From operations perspective, maybe just chatting bit more on what enabled us to get the 13% higher ounce production. You can see that our PGM feed tons was 12% higher. And here in particular, the performance from Lesedi that had a stable production run during the period compared to some trading related interruption in the previous financial year have aided to the increase in PGM feed tons. And then also Tweefontein had significantly higher feed rates based on management's efforts to increase stability running time on that operation. And also pushing the envelope and throughput as the MF2 came up and we have adequate residence time available. So that enabled us to have the higher PGM throughput rates. From a PGM recovery point of view, we have had a 5% increase year-on-year and although all our operations have seen higher PGM recoveries during the year, most notably year is the contribution of the Lesedi and Tweefontein, secondary milling and flotation circuits, the MF2 circuits that have been rolled out and optimized during the past year. And we've seen very encouraging results and I'm glad to see that the projects have been delivering what they've been intended to do. And with that in mind, we're also excited about the Lannex MF2 that is just started commissioning in the last week or two and will be optimized during the next three to six months. So we're looking forward to that performance for the rest of the year. It's also important to note that the PGML performance was despite a 5% decline in PGM feed grade and mostly impacted by a change in resources at both our Lesedi and Doornbosch mine where we're targeting a lower grade dump resources as the next phase of the life of the project. But our additional efforts to work on throughput and recovery is helping to mitigate any grade impacts we might have. So when you look at the graph on this slide, you can see that we are forecasting approximately 74,000 to 75,000oz for the ‘24 financial year and then we increase that production towards 2025 as the feed grades at Lesedi and Mooinooi again then improve. But then also the very encouraging contribution of the THABA joint venture that then comes in. That was aimed to commissioned during the second half of the ‘25 financial year. You can see the green bars at the top there and then in 2026 it would have the full contribution, which we equate to about an additional 6,500oz attributable to Sylvania per year. And I think that would bring our total production to just over 80,000oz, feed per [inaudible] 4,000oz for the 4E and over 100,000oz 6E per year once the THABA JV is running consistently. I'm not going to go into a lot more detail. We often have people asking us more detail on the individual operations. And from this slide, maybe just worth pointing out one or two items that we have not discussed earlier, I think two of the year is the excellent safety performance from our Doornbosch operation that achieved 11 years lost time injury free in June, which is an industry leading performance and certainly something we are very proud of. Also the record PGM feed tons and recovery efficiency and ounce production performances at Tweefontein during the year was a big enabler for our overall production performance. I think on the slightly negative side in the past financial year was just at Lesedi where that's our one operation that have been impacted by the load power situation in Africa and for load curtailment and we lost about 300 hours during the year. But we are mitigating that impact by installing a new backup generating system at Lesedi which is due to commission during the next quarter and we're looking forward then to mitigate even those down times. And then as I mentioned earlier is the commissioning of the next MF2 in the next quarter, the post commission optimization that should add significant value. Overall, we expect the SDO to continue a strong performance in 2024 and therefore we maintain our guidance as I stated. Just before we go into the financials, it's maybe just worth considering what the impact of the metal price was. As you heard me say on the financials results summary slide that the 28% decline in the 4E PGM price significantly impacted our financials and you can see on the graph at the top right there where we have both the US dollar and African Rand 4E basket prices and you can see the decline over the past period. And at the bottom you can see in particular how the palladium and rhodium prices have had a significant decline and primarily driven by the slower than anticipated recovery in the auto sector, especially the internal combustion auto manufacturing during the past year. So just there we will see how we deal with this in later in the presentation. I think also which we will have bearing on the financial figures and we'll discuss in a moment is we do indicate some sensitivities on some of our future looking numbers and it's always difficult to pick one set of PGM prices or a set of basket prices to predict future performance because it's quite a varying view from analysts on this in the medium to longer term. I think everybody is in agreement that metal prices should start to recover during the next six months going forward, but longer term there's a varying view and what we have just done is we have included the forecast from three different institutions and that we often work with and that being Nedbank, Corporate Investment Banking, Standard Bank Securities and also Liberum as an indication of what sensitivities we apply and these graphs just give you an idea of how they view the metal prices to behave in the next couple of months. Now I think with that I'm going to hand over to Lewanne to take us through the financial results.
Lewanne Carminati : Thank you, Jaco. I think that 2023 financial year has been a tough year for most in the industry with the decrease in the metal prices over the past year, but especially the short decline in recent months. This coupled with our high cost inflation has added further pressure to maintaining profitability in the industry. With that being said, let's take a look at our year in review where Sylvania recorded a net revenue of $130 million for the year. This is net of sales adjustments for ounces delivered in the prior year, but only invoiced in the current year, as well as a net of smelting and refinery charges. The cost of sales remained flat in dollar terms, but increased 10% in South African Rands, which is the operations functional currency, and this is in line with inflation and contractual rate increases. A large portion of the operating costs are fixed, so they don't increase as a result of our increased production. Mining royalty tax decreased in line with the decrease in the revenue. The other income line on our profit statement includes the $1.6 million profit on the sale of Grass Valley, which became unconditional in July ‘22. Finance income increased significantly as a result of interest earned on cash invested. We pay income tax in South Africa on taxable profits at a rate of 27%, and the company pays dividend withholding tax on dividends distributed from Sylvania Metals upwards through to the parent entity. So finally, the group recorded a net profit of $45 million for the year and an earnings per share of US $0.17. Looking at our revenue in a little more detail and as I mentioned on the previous slide, we recorded $130 million net revenue for the year. This is a 14% decrease compared to the previous financial year and as a result of the decrease in the basket price, the drop in the Sylvania specific basket price of 28% year-on-year resulted in a $40 million reduction in revenue. This was partially offset by the increase in ounces declared, which contributed an additional $19 million. Rhodium still makes up the largest portion of our revenue, as you can see from the pie charts at the bottom of the slide at 46% of our 6E basket. This is despite the drop in the rhodium price, and then palladium and platinum make up a further 45% of the basket. If we look at the operating costs of the group, direct operating costs are incurred in rands as well, and in rand terms, the operating cash cost per 4E ounce increased 4% year-on-year. However, in dollar terms, the operating cost decreased 11% to $640 per ounce. The main contributors to the costs are employee costs, where we incurred a 7% average increase on salaries of employees in the bargaining unit. The majority of our operational employees are unionized and form part of this bargaining unit as well as the additional appointments for the Tweefontein MF2 plant which came online during the year. Mining costs increased due to the higher feed tons through the plant and electricity, we had an increase of 18.65%, which was effective from April 2023, as well as the increase in consumption with the addition of the Tweefontein MF2 and the ramp up of the Lesedi MF2 following commissioning in the later part of last year. Concentrate transport increased the higher ounce production obviously resulted in an increased number of trucks required to deliver to the Smelters, and our reagent costs were higher -- with higher than inflation increases due to certain components of the chemicals being imported and the impact of the weaker rand. These increases in operating costs are not unique to Sylvania, and we're still at the lowest quartile of the industry cost curve. That curve is included in the presentation as part of the appendix, so if you would like to have a look at that. At the current exchange rate and target production for 2024, we're estimating an average cash cost of between $700 and $750 per ounce for 2024. Moving on to our group EBITDA, the group recorded an EBITDA of $66 million for the financial year. Again, the decrease year-on-year is a direct result of the drop in the metal prices and the weaker average rand dollar for the reporting period. It's uncertain what the metal prices are going to do for the next six months, but in the long term, the forecast remains positive, albeit not at the levels we saw in 2020 and 2021. Based on the range of forecasts, as well as the current spot price, the EBITDA estimate for 2024 and onwards ranges from $20 million to as high as $120 million. But I think the key takeaway from this graph is that regardless of the current prices, Sylvania still remains profitable at the lower basket. The group had a cash balance of $124 million at 30 June. This is up slightly from the prior year's $121 million. Cash inflow from operating activities was $63 million after working capital adjustments of $13.7 million, net interest income of $5.1 million, and tax payments of $20 million. Cash outflows from investing activities include capital expenditure of $14.5 million, $12.5 million was spent on SDO [inaudible] business and capital projects and $1.6 million on exploration assets. The cash outflow from operating investing activities is made up of the $35.5 million paid out in dividends in December 2022 and April 2023, as well as the $4.9 million spent on share buybacks. As I just mentioned from the previous slide, we spent $12.9 million on capital at the dump operations. Most significantly was the capital spent on the Tweefontein and Lannex MF2s of $5.3 million and then tailing dams cost at the various sites of $2.6 million. The addition of the MF2 is expected to improve plant recoveries going forward. $1.6 was spent on progressing the exploration projects for the year and the capital spent for 2024 was estimated at $13 million for the current dump operations and exploration. And then the addition of the THABA JV capital is estimated at $15 million for 2024 and 2025. Although, Sylvania is funding the full capital of $30 million, the JV partner will be repaying 50% of this through an interest-bearing loan. Returning value to our shareholders is important to the board and the revised new dividend policy was announced with our half year results and was effective July 1, 2022. Under this policy, the company pays out a minimum of 40% of adjusted free cash flow. And the board took a decision to declare a final dividend of 5 pence, bringing the annual dividend to 8 pence after the 3 pence dividend that was paid was declared in February 2023. We're pleased to have been able to maintain the 8 pence per ordinary share that was paid in the prior year, despite the drop in the metal prices and cost inflation. During the year, 4 .8 million shares were also bought back and 3.6 million of these were cancelled post year end. So in total, the company has paid out $101 million in dividends since our maiden dividend was declared in 2018. And we've bought back 61 million shares since 2015, of which 24 million have been cancelled. Further growth and the expansion project, the THABA JV are funded from cash reserves and hence the reason why we have kept a large cash surplus back over the past few years. If we look at our ESG, just a brief touch on this. ESG has always been part of our business model, given the nature of our operations, being the reprocessing of historical dumps and then constructing new tailings facilities that are of high standard, but all -- but while prioritizing the wellbeing of our employees by providing a safe, all-inclusive working environment. Good governance is also the foundation of a good business and the board ensures that stakeholders are well-informed through clear and transparent reporting. If we just look at a few highlights of our ESG for the year, the revegetation trial is progressing well and an increase in the grass and plant growth has been observed as well as additional inter glass that's been observed in the area. We're quite positive that the conclusion of this three-year trial will have an environmentally friendly and cost-effective method of rehabilitating sterile dumps in the end as opposed to a more cost-intensive topsoil option. The company is also working with consultants to align our tailings management with the global industry standard on tailings management where applicable and where we have gaps in our management, but still complying with the South African laws and regulations where we operate. With regard to reducing our carbon footprint, there's increased focus on green energy sources for new projects and we're continuously assessing and monitoring the developments that could provide a greener solution for our existing operations. Our Doornbosch operation celebrated 11 years loss time injury free in June 2023 and as Jaco noted, this is an exceptional achievement for the plant and by industry standards. We've increased our women in mining percentage from 20.9% in 2022 to 23.4% and 30% of our new appointments were women. For the 2023 financial year, the group has also contributed ZAR 2.2 billion to the South African economy through employee payments and related contributions as well as taxes and procurement spend. We will be releasing our full ESG report in October, so please do look out for that. Over to you, Jaco.
Jaco Prinsloo: Thank you, Lewanne. And I think now that we've dealt with the past performance for the year, I think let's spend a bit of time just on what we can expect both from the market and from Sylvania going forward. I think first, just maybe a background to look at the different metals and what the demand boasts for us going forward. I think it's important just to note, and I've put the typical demand figures down for the individual metals and you can see why rhodium and palladium is being consumed, grew about 90% and 84%, respectively in auto catalysts for internal combustion engines. Also significantly affected by the movement in new vehicles production and sales as we see a slower recovery why these metals are having problems coping with it. I think the platinum, on the other hand, at 41% reliance on auto cats, a bit more shielded for the industrial and especially the jewelry demand sectors. And also the opportunity auto manufacturers had during the past year is to substitute some of the palladium and auto catalysts with platinum because of the price differential certainly assisted to improve the demand for platinum and hence why platinum is expected to be in deficit in the short to medium term, both from, so while palladium is still in deficit. I think it's expected to move into surplus in the medium term and then rhodium obviously to have modest surpluses in the medium term and that's related to the car industry. But I think there is a general expectation that there should be a recovery and growth in the inter combustion vehicle supply going forward and also the combination of higher vehicle sales and then tighter emissions standards should boast well for the palladium and rhodium demand and hence vehicles. So I think they are very important view any investor would have to take on these metals is how fast the realistic conversion to electric vehicles, electric, fully electric or battery electric vehicles would be. Because that is the one threat to the internal combustion engine. And that drives analysts outlook in terms of what the future the medium to longer term demand for these metals would be. I think certainly talking to a lot of analysts, the mining companies, there's a wide concern that there is not enough raw material available to meet the anticipated growth in the electric vehicle demand and therefore it might be slower than anticipated the substitution, in which case palladium and rhodium will be stronger for longer. Platinum, on the other hand, do benefit from the hydrogen economy and also especially potential fuel cell rollout in electric vehicles. And that certainly goes well for the longer term demand and pricing for platinum. And so generally, I think with having all these metals in our basket, we quite have a robust outlook on the market and therefore still positive in terms of growth and future prospects. When we talk about growth for Sylvania, we've always had three areas where we looked at how do we particularly grow the business? And the first one is to look at how do we unlock further potential of value from our existing assets and that's both our existing dump operations as well as our owned exploration assets and initiatives like continuous R&D, the rollout of the MF2 or the secondary milling and flotation circuits we've added our operations is all indications of how we improve the efficiency and also the production profile from our existing operations. And then focusing on our exploration assets. We have launched various studies during the past two years to determine and investigate how best to unlock value from these assets, where we hold approved mining rights and which I'll discuss in a bit more detail shortly. And then finally we continue to explore external growth opportunities where we can replicate our proven operating model and leverage our successful track record and expertise. And the THABA JV that we have just announced post period end is an example of this, of such an opportunity where we can grow the business both in terms of profile and life by securing potential new sources and partners. So if we just look in and try to give you some indication or indicative example of what you can expect over the next in the short, medium and longer term, I just illustrated have some projects for illustration here and the SDO we talked mostly about already, which is the MF2 rollouts of positive classification. I think probably the one part we did not discuss in detail was the higher grade third party dump material that we are sourcing to supplement lower grades at our existing operations and that we have been doing for the past two years already and have increasing access to additional third party dump material. So that is a nice way of us of growing by feeding into our existing operations with increased to overall life of our operations. Then the second part, and as I mentioned earlier, where the THABA JV forms in is where we secure new dump and chrome tailings operations. And the THABA JV is currently in execution now post us finalizing the agreement. And the design phase is basically complete and we're progressing with procurement during the next few weeks. So we will be placing the first commercial orders with the aim of bringing that project into production in about an 18 month timeframe. And you can see there in the 18, two months to three years where we target post production by the second half of the 2025 financial year. And besides the securing the THABA JV on the Western Limb, we also have exciting opportunities on the Eastern Limb where we have exclusive access to multiple chrome tailings resources on the Eastern Limb. And we are in the process to engage with partners and host mine there to see what the best strategies to unlock their full potential. So is to see how do we best treat that material. Our view certainly is that in the next 18 months to two years we should be able to add an additional chrome tailing and PGM facility on the Eastern Limb. That would be our fourth operation on the Eastern Limb and they would be able to add significant value to the business. And we're engaging, as I said, with specific host mines and completing our final technical and commercial due diligences. On the Western side, we also have further opportunities to increase ROM treatment and we're also engaging with that and hold some very real potential. In terms of the owned exploration assets, I'm going to go in detail about it, but since we've announced the findings of the studies in October 2022 so during the first half of the previous financial year, there is not significant new deliverables to be announced, but I'll deal with what we can expect in the next six months. But just worth saying that we continue to explore the projects and to determine how best we can add value for shareholders and to determine what strategy is best to employ. So turning out just briefly on having a snapshot on the THABA JV and just at a glance, it is a joint venture with Limberg Chrome Mine who is an existing chrome miner on the north of the Western Limb. Besides ROM feed material, there's also a historic dump resource of 2 million tons available, and that enable us to feed a combination of 16,000 dump and 50,000 raw material per year so that we can produce approximately 13,000oz 4E ounces for the year, which equates to almost 16,000 6E ounces, as well as 400,000 tons of chrome in a year, 50% of which will be attributable to Sylvania. And also the current life of the project is a minimum of 10 years, primarily based on the period it will take us to deplete the dump resource. But the life of the mining operations and the resources is significantly longer. And we do have an option in the agreement to negotiate an extension if we would want to. The capital requirement for the project is about $32 million, Sylvania's portion of $16 million. And Sylvania will also fund the $16 million initially of the JV partner from our cash reserves based on an interest-bearing secured loan to the JV partners. The economics investment parameters for the project are very attractive and with a simple payback of less than three years. And as I said, we aim to commission within the second half of 2025. I think worth noting here why this is also very significant for us. This transaction is besides the fact that it diversifies away from only being dependent on a single host mine, we are having other third party partners. It also diverse our revenue stream into chrome and that's significant because although Sylvania already produced between 350,000 and 400,000 tons of chromite concentration rate per year for our host mines, we don't generate revenue for it under our current agreement. But under this agreement the attributable 200,000 tons of chrome to Sylvania based on recent chrome prices would contribute approximately $30 million to $55 million a year of additional revenue stream to the company. So certainly not insignificant and very attractive, especially when you in a down market in the PGMs. And then the third strategic benefit of this project is the location on the northern end of the Western Limb and you can see our current operation Mooinooi and [inaudible] the southern end of the Western Limb and that's also where Tharisa Minerals is situated as well as Jubilee’s chrome plants. All the current chrome processing, all the bottom of the Western Limb and by having a licensed facility and capacity, treatment capacity at the north of the Eastern Limb could well open the door for further opportunities in the geographic area, that makes sense. If we quickly just glance over the exploration assets. I mentioned earlier that on Volspruit, we have published in October last year the initial mineral resource estimate and scoping study that was firstly focused on only part of the resource which was a North Pit representing about 58% of the overall resource. And most of the work during the past or subsequent to October was to add the South Pit resource as well to our mineral resource estimate and to add rhodium that has previously excluded because it was not at the job compliant level of analysis at the time. So we are looking to publish in the next month or so updated mineral resource estimate on Volspruit which will then include the South Pit and rhodium. And then later in the year, towards the end of this calendar year, we will focus on delivering an updated scoping study on Volspruit to give an indication of the true combined project value. On the Aurora and Hacra, Aurora is our project where we have a near surface and discovered the near surface T-Zone mineralization along strike length and initially targeting just the La Pucella target area, which is approximately 12% of the total project area of a total 14 kilometer strike length, and we've published a mineral resource estimate in October. But the subsequent work has been focusing on relogging of historical core with the aim of proving continuity across the strike length of this mineralization so that we can eventually declare a mineral resource estimate over the entire strike length, on which we can then base a scoping study for this project to determine what the value and potential for the company would be. And then the last project is our most northern project bordering Platinum Group Metals Waterburg project to the north is our Ivanhoe project and we have a deeper level deposit which we've announced exploration results for in October. And we have been working over the last year to towards determining if we can declare a maiden resource estimate on this. And hopefully we'll have a final outcome during the next couple of months. And we will keep you updated of progress on these projects as we go along. I think if we looking closing in terms of Sylvania, we certainly believe, and I hope that our shareholders would agree, that Sylvania is a very attractive, low cost, low risk, cash generated business. And I think we've developed over the years a very strong track record with our strong production performance. And we've been able to deliver very strong value to our shareholders, both through a combination of having stable and growing dividends as well as significant share buybacks. And I think, more importantly, the fact that we've been able to cancel most of the shares we bought back over the period. So, yes, that is our final presentation. I said thank you for your time and listening to us. We certainly are very happy with the past year's performance and quite upbeat about the future, both in this next financial year as well as the medium to longer term for the company.
Operator: Jaco, Lewanne. Thank you very much indeed for your presentation. Ladies and gentlemen, please do continue to submit your questions using the Q&A tab situated on the top right corner of your screen while the company take a few moments to review those questions submitted today. I would like to remind you that a recording of this presentation, along with a copy of the slides and the published Q&A, can be accessed via investor dashboard. Jaco, Lewanne, as you can see, we have received a number of questions throughout today's presentation, and if I may hand back to you and kindly ask you to read out the questions, give responses where appropriate to do so, and I will pick up from you at the end.
Operator: [Operator Instructions]
Jaco Prinsloo: Okay. Thank you very much. If I'm looking at the Q&A slide and we'll touch on the question, see how much we can handle in the remaining time. I think the first one I've seen from the pre submitted questions is saying, given the South African Rand volatility and poor outlook, why not find a safer haven for the very significant cash balance? And I think Lewanne can maybe just explain for us there in terms of how we, and we don't keep all our currency in South African rands, and she can maybe give us more guidance on the balance of the dollar to rand exposure.
Lewanne Carminati : Yes. So thanks, Jaco. In the past when we were still building a number of Sylvania of the dump operations, we did keep a fair amount of our cash in South African rands to fund these. But post that and post the MF2, or what was then the project Echo completion, we have moved or we do keep a significant amount of our cash in US Dollars. It's not kept in rands, and currently it varies between a 70% to 80% of our cash is kept in US Dollars. So not impacted as significantly as it used to be by the volatility of the rand.
Jaco Prinsloo: Okay. Thanks, Lewanne. One of the next questions is to say, do you think perceived unrest in South Africa has contributed to the share price decline? And what's the reality of risk to the business? Look, it's always difficult. I think investors know the jurisdiction quite well and the associated risk. So I don't think that there's been any significant deterioration in what we have historically seen or in the environment that we have been operating in for a number of years already, I think South African producers learn to adapt to the different political and socioeconomical challenges we have, and you build a business around it to make sure you can withstand any risk that it might pose. So to come back to the question, do I think that have contributed the share price decline? I think there is certainly an element and because as the African rand weakened and given the overall credit ratings of South Africa, given the concerns about the upcoming elections in the next year, there might be an element of country risk in the share price. But if you look as well, I think the PGM price in particular have, I think, been the most significant driver of share price performance of not just Sylvania but all PGM mining companies in the sector. And if you would do a comparative trend of PGM mining companies in the country, unfortunately, most of them are South African based. So again, don't necessarily tell you eliminate the country risk, but you can certainly see that it follows very closely the PGM basket price trend in the share price. And I think that is the bigger component of it. And that's why we quite excited to say if there's a recovery in the metal price, that we believe the share price should also follow. That's on that question. If I think the next question actually ties up very closely to it. And I just said I appreciate you're not responsible for the price at which your shares trade, but I'd be interested in knowing what you think is behind the recent steep price decline and why you canceled the recent share buyback. So the first part, I think, is answered by my previous response to say, what we think drives the share price down. Then the second part of the questions say why you canceled the recent share buyback. I think we've announced in May that we launched a share buyback up to $10 million that we would do. And I think we were going into a closed period after the end of June as our production year end closed, and with a steep decline in the metal prices just in those preceding weeks to that we have paused or altered the buyback because you can't give instructions on buying selling when you're in a closed period. So with a potential risk to the company being in a closed period and not being able to control what happens to the buyback program, we have suspended our buyback program. However, as we have now exited the closed period of the announcement of our results, the company have announced today that we are reinstating that share buyback program up to for the balance of the amount we initially announced. So of the $10 million, we've bought back $3.6 million of shares in the initial part of the buyback. So there's another $6.4 million remaining under the buyback program. And we will look at opportunistic levels where we believe the value from the buyback is superior to any other investment opportunities, but we certainly are committed to increasing the buyback. I think the next question ties in with buybacks, what's the company's policy on share buybacks? So I'm actually not going to answer that question again. He was just asking the same thing, and I believe I've answered it. The next question is the third question. The share buybacks, is why in the last two months, has the company not purchased any shares or cancellation? And I think I've explained that. One of the next questions said, do you expect any improvement in production levels from your mines? And I assume when the person says mines, they mean our operations. I think we are running at very close to our optimum levels at all our operations. And that's why I said we've been very excited about our production performance now, over the last year, our plants are running at capacity. We are working on improving stability and recovery efficiency. So we get incremental improvements in ounces, but there's not going to be a significant change in the levels of production. And that's why we maintained our guidance very similar to this financial year. But we believe the operations are stable and efficient where they are. And we in a sense production is dependent on the grade of material we have where we are able to supplement with higher grade external resources. There might well be an additional benefit if we can improve feed grade to the operations, but that is as and when those are available. I think one of the other questions is focusing on the electrical situation of Africa, is says how do you cope South Africa and its many electrical failures. And I guess there's an answer of how do you cope personally and how do you cope with the business? But let's stay with the business one. I think we are fortunate, South Africa, while there are the severe stages of load shedding industrial customers and therefore our host mine is dealt with slightly different than your domestic or small business consumers. So it is a system of load curtailment rather than load shedding. And they give the industrial customers the opportunity to cut a percentage of their power and plan where they want to cut it. So typically our host mine will have smelters and production and mining operations would choose to cut the power and do the load curtailment, cut back the consumption on the smelter facilities where they are able to catch up production to an extent later rather than losing a blasting shift or production from underground. And with five of our six plants being located at the mining operations, we are therefore not impacted by the electrical failures directly. However, Lesedi is our one operation that's situated at a smelter site. And they have experienced this downtime due to the load curtailment during the past year or two. And that's why we have installed electrical backup power supply at Lesedi which will be commissioned in this next three months so that we can mitigate the impact of load curtailment in that area. So that is how we deal with that at the moment. Then there's a I think the next question is related is there concern related to security, energy supply or political instability? And I think it ties in with what I answered on some of the first questions. And the last one. There's a question say what's the interest of the JV loan? The interest of the JV loan is a variable rate connected to the South African prime interest rate. At the moment that rate is 11.75% is the prime lending rate in South Africa and that loan will be aligned with the prime lending rate in South Africa. The next question says could you comment on the very low share price in relation to the extremely low PE ratio, in your opinion and when you believe the rhodium price will start to recover and what level we could see the rhodium price rise from the current price of the $41. Thanks. So I think I tried to highlight just the fundamentals what drives the rhodium price and as you saw, rhodium 90% consumption in auto catalysts and I think the other important one South Africa being producing 95% of world rhodium. So there are two things that impacted rhodium. So I didn't probably touch on the one earlier on that slide. The one is the demand with auto sales was down. The other one is in the previous years and post COVID and after, the Chinese glass manufacturers and even auto manufacturers to an extent, have accumulated and stockpiled quite a bit of rhodium. Because of price concerns at the time and because of the slower than anticipated recovery in the industry, especially in China and the consumer demand, those glass manufacturers have started to release a significant amount of rhodium from their stocks, and that also impacted on the rhodium price significantly. So that is as the car manufacturing is expected to increase going forward, analysts also believe that the excess rhodium available from stockpiles from, especially China, is also nearing stable levels that there wouldn't be additional levels coming from that. But saying that, I think, and I will go back to the outlooks from some of the investors in terms of the rhodium price outlook, I'll try to give an idea. You can see there is a range longer term, certainly not going back to $30,000 an ounce. I think Standard Bank in particular have quite a robust outlook, but that's specifically driven about how much they think the substitution from electrical and internal combustion engines will come. But I think in general, if you look at the long term outlook, it's between, say, between $5,000 and $10,000 an ounce long term rhodium outlook. But Rhodium has proved to be very volatile. And with all respect to the current analyst and others, if you look at the forecast people had a year or two years ago of the current environment. Nobody predicted the environment we in at the moment. And that's why we try to understand the dynamics driving it at the moment. But also understand that it is quite a volatile market. So somebody asked what view do you have for the use of PGMs in lithium batteries and hydrogen fuel cell productions? How would the timeline for this? So obviously the platinum has been already is forming a significant part in and play a significant role in the hydrogen economy and palladium certainly to a much lesser extent and rhodium as well. You probably have iridium and rhenium, the two metals that make up the 6E are probably more likely to benefit from the battery and electric economy and hydrogen economy going forward, but platinum certainly will benefit from it. There's a lot of work being done on advancing technologies and especially to focus on commercialization. The timeline for this, I think there's certainly Johnson Matthey and some of the big companies have outlooks based on what they think the demand would be. But there I think is certainly concern about supply about can there be enough mines, lithium, copper, nickel, cobalt, manganese mines to supply in this new economy and to enable electric and battery electric vehicles. So I would I think be responsible for me to try and put a timeline to it. But just be aware that those things definitely play a role. Somebody have asked here, and I think it ties in with those battery metals. Have you considered taking over Bushveld Minerals with the synergies and poor performance? And I would lie if I said before it didn't cross my mind, but this Bushveld is very attractive from the manganese and vanadium part of the business and they also have a battery sector they've done. But you also have to look at the bigger Bushveld Minerals company. There are some significant environmental liabilities associated with the old assets, smelter assets they have in Mogalakwena Province. So we constantly exploring opportunities and investigating opportunities in attractive battery or future minerals. It doesn't exclude anyone in particular, so we certainly will evaluate opportunities on the merits of it. So we'll have a look at that. I think looking at the time there are a few more questions, but I see there's more questions than I'm going to have time for. So I would maybe just do a time check and see do we draw to the close here and we can maybe answer remaining questions online and publish the responses or how do we look?
Operator: Jaco and Lewanne, I think you have addressed those questions you can for investors today. And of course the company will review all questions submitted today and we'll publish those responses on the Investor Company platform. But before redirecting investors to provide you with their feedback, which is particularly important to the company. Jaco, could I please ask you for a few closing comments?
Jaco Prinsloo: Thank you very much. And thank you for everybody spending the time with us and listening to our presentation. Yes, I think in conclusion, I just want to say that I'm very pleased with Sylvania's current performance and I'm also very excited about the future growth prospects we have and going forward. I think not only have we established ourselves as an attractive, reputable and stable cash generative business over the years, and obviously with paying growing and stable dividends, also returning to competitive value to shareholders. But I think also what we've seen especially recently is that through our track record of strong production and stable production ethics and also transparency in our reporting and business, we have also established ourselves as a partner of choice in the industry to unlock further growth opportunities going forward. So, as I said, I'm overall very happy and encouraged by the performance and I want to thank all our shareholders and other stakeholders for their trust and support. And I'm looking forward to continue this journey with you all. Thank you very much.
Operator: Jaco, Lewanne. Thank you very much once again for updating investors today. Could I please ask investors not to close this session as you will now be automatically redirected to provide your feedback in order that the board can better understand your views and expectations. This will only take a few moments to complete and I'm sure will be greatly valued by the company. On behalf of the management team of Sylvania Platinum Limited, we would like to thank you for attending today's presentation and good afternoon to you all.